Operator: Good afternoon. Welcome to VirTra’s Second Quarter 2020 Earnings Conference Call. My name is Jess, and I will be your operator for today’s call. Joining us for today’s presentation are the company’s Chairman and CEO, Bob Ferris; and CFO, Judy Henry. Following their remarks, we will open the call for questions from VirTra’s institutional analysts and investors. Before we begin the call, I would like to provide VirTra’s Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. During this presentation, management may discuss financial projections, information or expectations about the company’s products and services or markets or otherwise make statements about the future, which are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. The company does not undertake any obligation to update them as required by law. Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the company’s website at www.virtra.com. Now I would like to turn the call over to VirTra’s Chairman and CEO, Mr. Bob Ferris. Sir, please proceed.
Bob Ferris: Thank you, operator, and good afternoon, everyone, and thank you for joining us today for VirTra’s second quarter 2020 earnings call. I am also joined today by Judy Henry, our CFO, who will join me in answering your questions after our prepared remarks. I would also like to remind you that shortly after the earnings call, we will have the Virtual Annual General Meeting, with another chance for questions and answers. But first, I am excited to report our progress. The second quarter of 2020 presented VirTra with an unusual operating environment to say the least. There was not one but two macro level events that impacted our company and our industry this quarter that are worth addressing today. The first is the continued impact of COVID-19, which started at the tail end of Q1 and continued to be a major influence during Q2. I’ll discuss those impacts at length in a moment. The second is a series of polarizing events ignited by the death of George Floyd in Minneapolis that have concentrated our country’s attention on the law enforcement community. More than at any other time in our history, there has been a very specific focus on how officers interact with those they are sworn to protect and how they decide, if and to what extent, force should be used in a situation. These are extremely complex questions that touch at the very nature of what police officers do. In our society, police officers exist to enforce the law and to protect the individual liberties of citizens from domestic threats. To do so, they are uniquely endowed with the authority to use force, should the need arise. As a knee-jerk reaction, some have suggested the defunding of police agencies. Fortunately, cooler heads have prevailed and many see the logic that to improve policing involves investing in the improvement of the training of the police, and that’s where VirTra comes in. Deciding if, when and to what extent force is necessary is an incredible responsibility we bestow upon them. And such tremendous responsibility requires tremendous preparation, practice and training. We, at VirTra, don’t have all the answers, but what we do have is a proven line of products that is part of the solution. In fact, nearly every major federal law enforcement agency has selected VirTra for their solution for simulating a wide variety of situations, and we continue to receive follow-on orders to support their training needs. However, far too many police agencies in the U.S. and abroad either use no simulation training or use an older and inferior product to the detriment of the trainees and the public. We provide the best simulation training available to improve the efficacy of both law enforcement and military personnel. The need for our solutions has arguably never been greater. Given how topical VirTra is to these national discussions, VirTra has been honored to receive increased regional and national news coverage. In fact media mentions of VirTra, has increased approximately 50% from the same time last year. There have been segments highlighting forward-thinking departments that have installed our simulators and who clearly understand the value we provide and how that value translates into saving both dollars and saving lives in the long run. We rolled out a new website and a record number of new digital marketing materials this year to better educate the thousands of police agencies about VirTra’s uniquely effective products. However, it’s important to be realistic about the current environment. Clearly, the events of the past few months could create opportunities for us to help a larger number of departments and improve their training and their relationships with their respective communities. Although our new sales have increased substantially in 2020 and pushed up our backlog to record levels, there is no guarantee that media attention or our marketing enhancements will translate directly into sales in the short term. So while we believe there are macro events generating momentum for VirTra, which may help drive additional sales, others have certainly complicated our installation process. You see if we must delay the delivery of our equipment to a customer, we must also delay recognizing the revenue. During our last call, we mentioned that we had not yet seen a material decline in our sales as a result of COVID-19. A major theme of our last call was that demand in the market remains incredibly strong, but revenue had been impacted as orders were taking longer to deliver and install. And since COVID-19 continues to be a major issue in the United States, that theme persisted throughout the second quarter of this year as well. As far as we know to date, we have not lost any business from COVID-19. However, our ability to install products has been impacted. Therefore, our ability to recognize revenue has been affected. Because of how strong the demand for our systems has been, even before the events in Minneapolis, we had expected our second quarter financial results to be extremely strong. However, because of continued complications with installations, which we started to see towards the end of Q1, we ended up with modest revenues in Q2. Our second quarter revenues were $2.8 million, a small decrease from last quarter and from the year ago period, but our backlog increased to a record $14.3 million. Our 6-month financial results, which Judy will discuss in a moment, were also – were almost identical to the first 6 months of last year, except that our backlog at June 30, 2020, was $4.2 million greater than it was at the same point in 2019. These two metrics, our revenue and our backlog, underscore the theme in the second quarter, robust sales for VirTra products coupled with a challenging installation environment due to the pandemic. For all of the second quarter, we were restricted on where we could travel and with whom we could install. We are still only able to travel on a case-by-case basis. As many of you know, our home state of Arizona remains in Phase 1. And as a result, several other states are either not accepting our personnel or requiring them to quarantine. Recent trends in Arizona are encouraging, and our operations teams are working incredibly hard to install products wherever possible while prioritizing staff and customer safety. But though installations remain impacted, we have actually accelerated our sales volume as compared to last year without COVID-19 headwinds. As just one example, during the second quarter, we received a new IDIQ, or indefinite delivery/indefinite quantity, contract from the Department of State for the Republic of Mexico. As a testament to the tenacity of our operations team, even with the pandemic restrictions, we fully expect to deliver and install this order, and therefore, recognize those revenues in 2020. Because of this momentum, we remain confident at our prospects for the second half of the year. I’ll add to this theme in a few moments. But first, I am going to turn the call over to Judy to walk you through the financial results for the second quarter. Judy?
Judy Henry: Thank you, Bob, and good afternoon, everyone. Our total revenue for the second quarter of 2020 was $2.8 million. This was a 9% decrease from the $3.1 million of revenue we recognized in quarter 2 of last year. For the 6 months ended June 30, 2020, our total revenue was $6.1 million, consistent with the $6.1 million we recorded in the first 6 months of last year. The decrease in revenues for the 3 months ending June 30 was the result of a reduction in the number of simulators and accessories delivered and installed compared to the same period in 2019, especially due to the COVID-19 travel restrictions. Our gross profit for the second quarter of 2020 increased 4% to $1.6 million or 57% of revenue from $1.5 million or 49.6% of revenue in the second quarter of 2019. The increase in gross profit was primarily due to reduced warranty costs. For the first 6 months of the year, our gross profit decreased 4% to $3.2 million or 51.9% of total revenue from $3.3 million or 54.3% of total revenue. The decrease in gross profit was primarily due to differences in our product mix and the quantity of systems, accessories and services sold. Our operating expense for the second quarter of 2020 was $2.4 million, consistent with $2.4 million we reported in Q2 of last year. For the first 6 months of 2020, our operating expense decreased 3% to $4.5 million from $4.7 million in the same period a year ago. The decrease in operating expense for the 3 months ending June 30, 2020, was due to reduced selling, general and administrative costs for travel, trade shows and professional service again a result of COVID-19 restrictions. Turning to our profitability measures, loss from operations for the second quarter of 2020 was $822,000 compared to a loss from operations of $883,000 in Q2 of last year. For the first 6 months of 2020, loss from operations was $1.3 million, consistent to a loss of operations of $1.3 million in the first 6 months of 2019. Our net loss for the second quarter of 2020 totaled $601,000 or $0.08 per diluted share. This compares to a net loss of $634,000 or $0.08 per diluted share in Q2 of last year. For the 6 months ended June 30, 2020, our net loss totaled $991,000 or $0.13 per diluted share compared to a net loss of $947,000 or $0.12 per diluted share in the comparable period a year ago. Our adjusted EBITDA loss, a non-GAAP financial measure, improved to $579,000 in the second quarter of 2020 compared to adjusted EBITDA loss of $675,000 in Q2 last year. For the first 6 months of 2020, our adjusted EBITDA loss was $978,000 compared to adjusted EBITDA loss of $1 million in the first 6 months of 2019. Turning to our bookings and backlog, we define bookings as the total of newly signed contracts and purchase orders received in a time period. For the 3 months ended June 30, 2020, we received bookings totaling $5.9 million. We define backlog as the accumulation of bookings from signed contracts and purchase orders that are not started or are uncompleted performance objectives and cannot be recognized in revenue until delivered in the future period. Backlog also includes extended warranty agreements and step agreements that our deferred revenue recognized on a straight-line basis over the life of each respective agreement. As of June 30, 2020, our backlog was $14.3 million, which is up from the $10.1 million we reported a year ago, and up from $11.3 million at March 31, 2020. Finally, to our balance sheet, at quarter end, we had approximately $4 million in cash and cash equivalents and certificates of deposit, which was up from $3.3 million from the end of the period ended December 31, 2019. Accounts receivable and unbilled revenue combined to total approximately $4.8 million at quarter end compared to $5.9 million at December 31, 2019. On May 8, 2020, VirTra received a promissory note in the amount of $1,320,714 under the Paycheck Protection Program, or PPP, established as part of the Coronavirus Aid, Relief, and Economic Security Act, CARES Act. Under the terms of the PPP loan, up to the entire amount of principal and accrued interest may be forgiven to the extent PPP loan proceeds are used for qualifying expenses as described in the CARES Act. The company intends to use its entire PPP note amount for designated qualifying expenses and to apply for forgiveness in accordance with the PPP loan terms, but no assurance can be given that the company will obtain forgiveness of the PPP note in whole or in part. From a working capital standpoint, we ended the second quarter 2020 with $6.9 million in working capital compared to $7.2 million in working capital at December 31, 2019. For additional details of our financial results, please reference our 10-Q, which was filed earlier today. That concludes my prepared remarks. I’ll now turn it back to Bob.
Bob Ferris: Thanks, Judy. As we shift our attention to the rest of 2020, the strength of our landed sales and pipeline is encouraging. While the vast majority of the national discussions around law enforcement training and specifically, increased de-escalation training are very positive for VirTra and the nation, the very extreme idea of defunding the police has made headlines. As of today, we have not lost a sale due to defunding. As a reminder, many departments already have budgets allocated for the year, so it’s unlikely that we will see any major changes in the near-term. The real question is what will budgets look like towards the end of this year and into 2021? From what we have seen, departments are evaluating how they can most effectively allocate their funds as they’ve done in previous years. But bear in mind, these decisions are frequently being made in the spirit of allocating funding towards resources that make police more effective, not less, resources that help ensure officers and those who may have sworn to protect stay safe. For those reasons, there have been reports that some of the largest cities in the country have actually increased their budgets this year. It was recently reported that San Diego, Houston and Phoenix have all increased their police budgets. Whether or not that increase becomes the norm remains to be seen. We contend that money spent on VirTra’s certified simulation training for critical decision-making is money well spent. But ultimately, the 18,000 or so law enforcement agencies in the U.S. must decide for themselves. While most departments appear to still be in the evaluation phase, it is certainly possible that some cities may become more budget constrained. Should that occur, we are fortunate that we already have a viable alternative in place with STEP, VirTra’s subscription, training and partnership program. The program recently entered its second year and so far every customer who started in the program has elected to renew, achieving a 100% renewal rate. This program is ideal for those customers who want a low payment to essentially rent simulation equipment and it is desirable for our shareholders as it increases our recurring revenue while growing our market share. Because of the subscription base, it shifts the payment from a capital expense to an operating expense. Now based on what we have seen so far, we believe the majority of agencies who are interested in VirTra’s training are continuing to buy our systems outright. However, STEP does work for some agencies and it is comforting to know that should budgets become more constrained we already have a mutually beneficial hedge in place that allows us to seamlessly continue pursuing our critical mission of effective simulation training for the greatest number of trainees. Recent events have clearly brought to light that VirTra’s training technology is indispensable for law enforcement. And while we are continuing to push to ensure that law enforcement personnel have the best decision-making, marksmanship and use-of-force training available, the fact remains that these needs extend directly to the military market as well. For well over a year now, we’ve been positioning VirTra to better suit the needs of the military market. In February of last year, we made an important enhancement to our drop-in recoil kit. In fact, we believe that in any head-to-head comparison of VirTra’s drop-in recoil kit form, fit and function clearly favors VirTra’s products. Much of our advantage comes from patented and patent-pending technologies including some desirable capabilities available only to VirTra when we acquired the patent portfolio from Tiberius Technologies. And just over a year ago, in last July, we engaged JL O’Connell & Associates to help advise us and broker relationships with military leaders and decision makers. Those investments, among others, have been gaining traction and they are beginning to bear fruit. There is tangible progress here, but given the sensitivity of some of these developments, we are not yet in a position to discuss anything in detail. However, we did want to share that there has been progress with the military market, particularly over the last quarter, and the pipeline has never been stronger than it is today. We will hopefully have some updates to share in the coming quarters, so please stay tuned. As we look to the second half of the year, we remain optimistic about our ability to continue expanding our reputation as a leader in simulation training for law enforcement and to leverage that expertise to provide the military market more effective and more reliable and more affordable products as they strive for the same. Despite some of the temporary complications we faced with the ripple effects of COVID-19, now perhaps more than ever, it’s apparent that properly trained first responders are worth the time and effort. VirTra is extremely fortunate to lead the world with the most realistic simulation products from hardware to software, to having the world’s only certified training curriculum that all positions VirTra to uniquely supply what the world is looking for. Thanks to our decades’ dedication of quality training and our team’s willingness to work even harder during the pandemic, we are better positioned for success than at any other time. For the most part, we are doing installs. And assuming the U.S. does not shutdown again, we are expecting a strong second half of the year. And with that, I’m going to wrap up my prepared remarks, and I believe we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] Our first question will come from Jaeson Schmidt at Lake Street. Please proceed.
Jaeson Schmidt: Hi, guys. Thanks for taking my questions. Bob, I know you talked about some of the civil unrest and how your products kind of fit into the trading mosaic, just curious if – with everything going on, if you have actually seen an increase in inbound interest coming your way?
Bob Ferris: Yes, thank you for the question. We have seen an increase. It is a longer sales cycle than a very short-term sales blip. So even if there is a general focus on better training for decision-making and use of force or even if agencies realize that one bad decision can result in rioting and has potentially long-term negative impact and is worth effort to avoid, even if that’s true, we are not obviously an impulse buy and the sales increase, if it does occur, can occur over a period of time. So yes, we have seen an increase in inquiries. We hope that, that will result in an increase in sales. And we have also seen now a little bit of an increase in sales overall for second quarter 2020 as compared to a year ago. So there are some metrics that are indicating that we have a bit of an increase in sales that could be temporary. Our focus is to make that a long-term trend of increased sales.
Jaeson Schmidt: Okay, that’s helpful. And I know you have the STEP program, but have you seen any pushback from customers on pricing just given the macro?
Bob Ferris: I would say, given the macro there is – in many agencies, there is likely a focus on getting the best training. I do think there is a bit of danger for departments that buy training simulators for life and death decision-making. There is so much on the line right now that going and getting in a cheap simulator, a kind of check-the-box simulator that does the bare minimums and there is no comparison done, there is no kind of kick the tires, there is no SME, subject matter expert, being involved in selecting the product and making sure that there’s actionable training value, I do think that there’s a lot more risk for that and an inversion of that. So, I do believe that the market does reward effective products and even if the effective product might cost a little more money and of course, there are exceptions to the rule. There are those that might be looking for the least amount of money to spend to say that they have simulation training, whether it’s effective or not. But I think that the macro level, if anything, has pushed a lot of agencies who might have inclined in that direction and may have pushed them away from that attitude.
Jaeson Schmidt: Okay, perfect. Thanks a lot guys.
Bob Ferris: Thank you.
Operator: We will move next to Richard Baldry at ROTH Capital. Please proceed.
Richard Baldry: Thanks. I am sort of curious if restrictions are easing, what would be the bottleneck to sort of clearing or pulling down that backlog sort of rapidly? Is it really gated by your own resources because the backlog has grown so much or is it more on the customer side? Again, assuming that we don’t re-close up everything sort of curious what that is?
Bob Ferris: Yes. So, great question. It’s a combination. There is a potential that some clients, even if states start to reopen and move through their phases, there is a chance that some of our customers will have their own internal policy and might delay allowing for installation or travel. There is a – obviously, we don’t have an infinite number of installers. So there is a physical limitation on our installation capacity. Our operations team does a great job of scheduling that, and we have been hiring some to try to make sure we have adequate staff to avoid a bottleneck in that area. So obviously, if there is a tremendous number of customers who want delivery all at the same time, then there does naturally occur a bottleneck. we have, though, in the past, been able to work with clients, and we do have a lot of staff that are cross-trained. So sometimes, we are able to use a staff member who used to do installations, but hasn’t for a while, but they still have all the skills to do so, and possibly, they would help out, assuming that they are okay with travel. We definitely want safety as a priority for our installation teams. But yes, there is a potential that there could be a bit of bottleneck. We don’t think that would be a horrible situation. We think that it would just mean that possibly some revenue would move off to one quarter further than it would have otherwise been. But we – our operations team has been anticipating this and has been watching the phase transitions around the nation. And so we have been staffing to a level to allow us to unwind the backlog as quickly as possible, but also not to overstaff. VirTra has had a very proud tradition that we have not had mass layoffs. So we try to be very careful with when we add staff, we are looking at that staff to not be a let-go on a moment’s notice. And we have been very fortunate to be able to plan around that. Sometimes that means we – staff works a little harder. We have had staff have to work through the weekends and work longer hours. But the upside has been that we have not had a large layoff at VirTra in many, many years now. So – but yes, we do think there is a potential for some bottleneck depending on the – if everything starts to reopen at the same time and we have clients who are eager to have the equipment at the same time. But we do have quite a bit of infrastructure in place to accommodate quite a bit of installs and if there is service trips needed.
Richard Baldry: And should we look at Q2’s OpEx as sort of a good near-term level given sort of the balance between uncertainties out there and – but the ability to sort of offset some of the spending with the PPP loan? And then maybe another way to think about spending above – more above the line, though, assuming some of the backlog started to clear out and the revenues popped a bit, how much of the COGS side is more fixed versus variable, so we can get an idea about sort of modeling what an upside quarter would look like as you clear some of that backlog?
Judy Henry: Well, of course, Richard, we are going to see a very similar fixed cost. And I believe a vast majority of the variable will remain in the same level. We do see some uptick in – pretty heavy uptick, actually, in our trade show sales and marketing events in Q3, but then that will, of course, be dependent on opening and reopening of the various sites. Some of them are moving them to virtual. Some of them are coming up with other opportunities and ways to continue with them. So a little bit of unknown in that position. But I would anticipate there to be mostly upside in the OpEx in terms of staying pretty consistent overall.
Richard Baldry: Okay. And then we made our own assumptions that possibly municipal budgets could be a little bit tight, given the revenue side of the table. If there was a big sort of shift into more of a STEP model, can you talk about the availability to sort of finance that because you would be talking about having to take on the value of a lot of the hardware installations and then amortize over time. So your ability or flexibility to address that if it actually emerged?
Bob Ferris: So we do have quite a bit of flexibility in that area. Obviously, we have cash reserves, and that’s – but in a situation like you described, where there were – there was a considerable increase in STEP, a couple of things to keep in mind. One is that we require a 12-month commitment for STEPs. So you can imagine that we have worked a lot of the numbers internally, and we are comfortable with the 12-month commitment. That might well correspond to sort of our internal capital expense to get that equipment out if we – as far as just materials. That’s not obviously including amortizing software and content and a lot of other costs that have gone into developing the product in the first place. The second thing is we have had groups with tremendous resources approach us and say, if you ever need funding for your STEP program, we would like to be near the top of your list to compete for that business. So we do have plenty of depth on being able to go and if financing was needed, to go and obtain it at attractive rates. So we feel that even if STEP became wildly successful in a short period of time that the financial side wouldn’t be the issue, we might bottleneck on production, if there was a tremendous increase in a short period of time. And we have – in the past, when we have had a tremendous increase in production, we have absorbed that very well based on tenacity for success and being a bit clever on how we integrate our products together. So – but yes, we do feel like there should not be an issue where a STEP becomes so successful that there becomes a financial bind of any kind.
Richard Baldry: Thanks. And last for me would be – and I don’t know if this is sort of off topic. But I am sort of curious, how long it takes to turn what I would describe it like custom content? So if someone wanted something very specific, like to address a near-term issue, like looting, rioting, that maybe wasn’t in your training simulators. How quickly can you react to something like that with a quality product that you would be proud to put your name on? Thanks. 
Bob Ferris: Yes. No problem. I love that question because it allows me a chance to explain a little more one of our most innovative products. So our quickest method for creating scenarios is actually a method that also is photorealistic, meaning that there is some folks that try to take a shortcut in some of this technology, and they try to use CGI, computer-generated images. So it’s just computer-generated humans, which don’t emote properly. They don’t quite look and feel real and people often has described them as kind of a zombie or a soulless human. And they are – they can’t get over the fact of how the human does not look normal. V-Author is interesting in that it attempts to solve the problem of how do you get the highest level of training, the most realistic people, natural-looking people, photorealistic people at high-definition the level of the human eye, how do you get that and how do you do it incredibly fast and incredibly affordable? Normally, you don’t get all of those. Normally, if you do very high quality, it costs a lot of money, it takes a lot of time. But it’s interesting, V-Author, by being very clever in how it puts together the scenario using green screen technology, using high-definition video, using a library that’s now built up, we are able to very quickly produce high-quality content using that capability of green screen. So – and we have the ability to use panoramics that are as simple as using smartphones. Use a smartphone, get a panoramic background and then we can drop in training assets, and those can be done in a matter of hours. There is more time involved in adding the logic behind them so that they respond properly, right? If they – if some – if a police officer was to shoot a taser at them or if a shot – or if they heard a shot fired, we want proper reactions for those situations. But that can be done incredibly quickly as compared to more traditional methods, which would involve animation and computer-generated images and 3D models and a very difficult system to try to get the people to look right to where officers can actually try to deescalate the situation and read the emotions of the person and see if they are going to be in a life or death situation and be able to read the human emotions. And so by using actors and using our V-Author system, which is unique to VirTra – VirTra invented V-Author years – many years ago and has refined that product. We are able to more quickly respond with new scenarios and new components for training that can be almost like LEGOs that can be used, and then subject matter experts make sure that what is being presented is appropriate training to the policies of the agency or the agencies themselves will have their subject matter experts review it to make sure it’s congruent with their policies. Otherwise, there can be modifications made. So it’s a very flexible system. And it is – in fact, it’s so fast. We, at one trade show, we took a picture of the entryway of the trade show back in the days when we had physical trade shows. We don’t have so many today. But we took a picture of the entryway of the trade show, and the first day – the first morning of the first day, we had a training scenario running of a situation of terrorists attacking the trade show and first responders having to respond, and we have that scenario as people walked in on the first day of the trade show. And everyone knew we must have been able to create that scenario quickly because we are using the actual assets, where we created the scenario using the actual front, the entryway of the trade show. I don’t believe any company has ever done that since that moment. I think VirTra is the only company that is actually able to create a photorealistic scenario of an event occurring at the trade show – at the start of the trade show.
Richard Baldry: Alright. Thanks, and congrats on the backlog build. It’s pretty impressive and given the conditions out there. Thanks a lot.
Bob Ferris: Thank you very much for your questions.
Operator: We will go next to Allen Klee at National Securities Corp.
Allen Klee: Good afternoon. The gross margins that you had in this quarter were higher than we expected. And in your earnings release, you said the factor behind this was lower warranty costs. Could you talk about why you think that is? And if there’s any reason why that might be sustainable?
Bob Ferris: Yes. Thanks, Allen, for the question. So I believe last year, we had some substantial international installations in countries that had higher costs. And so that is the reason we had lower margins a year ago. And this year, we did not have the headwinds of that situation. So that’s really what happened. I would, though, recommend that when it comes to gross margins, looking at it at an annual level is a better way to go. We will have some quarterly – quarter fluctuations. So we do tend, overall, to be around 60% gross margins in our – if you look back through our quarters in history. But we do need things working right to achieve that. And there are chances that, based on other factors, we could go after a large contract with lower margins, for example, or COVID could restrict our sales such that our cost of goods sold overhead takes a bigger bite of our overall cost. So – I mean of our overall gross margin. And so we end up having a quarter somewhat based on COVID. Or like the situation where last year, we had extra cost with an international order. And so – and this year, we didn’t have those costs. So – but yes, overall, we try to stay around a 60% gross margin on – over more of an annual level.
Allen Klee: Thank you. My last question is, if you could remind us of the major buckets of the money that police budgets have and to what extent there might be any additional federal money being allocated, if at all.
Bob Ferris: Sure. Yes, there’s – so the buckets for police are often capital expense or operation expense and then they also have the ability to go get grants. There’s a few other buckets, like we have had some groups that have purchased our simulator using a charity that is dedicated to advancing police issues. And so they actually had money donated, and they used that money to buy our simulator. But federal grants and other grants are sometimes used. There’s also a forfeiture money. Simulation equipment is one of the few items that is allowed to be purchased using asset forfeiture. So if – when the police apprehend a criminal, they are able to track down the assets, and then those can be used for simulation equipment so those are some of the various buckets that are available. There’s probably more than that. But just off the top of my head, those are some that we have seen used to buy simulation equipment in the past.
Allen Klee: Okay. Thank you so much.
Bob Ferris: Thank you.
Operator: At this time, that concludes our question-and-answer session. I would now like to turn the call back over to Mr. Ferris for his closing remarks.
Bob Ferris: Thank you. We appreciate you all taking the time to join us today. I hope you are able to sense the excitement and optimism I have. I firmly believe the best days for VirTra are ahead of us and enabled by our extraordinary staff, customers, shareholders, vendors, thank you all. As a reminder, our 2020 Annual Meeting of Stockholders, which is being held virtually, is about to begin at 2:30 p.m. local time, which is 5:30 p.m. Eastern Time. For those of you able to join, we look forward to continuing the conversation with you shortly. And for everyone else, we look forward to updating you on our next call. In the meantime, be safe, take care and God bless.
Operator: Thank you for joining us today for VirTra’s second quarter 2020 conference call. You may now disconnect.